Operator: Good afternoon, everyone. And thank you for participating in today's Conference Call to discuss iPower's Financial Results for its Fiscal Third Quarter 2025 ended March 31, 2025. Joining us today are iPower's Chairman and CEO, Mr. Lawrence Tan; and the Company's CFO, Mr. Kevin Vassily. Mr. Vassily, please go ahead.
Kevin Vassily: Thank you, Victor. Good afternoon, everyone. By now, everyone should have seen release of our fiscal third quarter 2025 earnings issued earlier today at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of our website at meetipower.com. This call will also be available for webcast replay on our website. Following our prepared remarks, we'll open the call for your questions. Before I introduce Lawrence, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Forward-looking statements are neither historical facts nor assurances of future performance. Instead, they are based only on our current beliefs, expectations and assumptions regarding the future of our business, future plans, strategies, projections, anticipated events and trends, the state of the economy and other future conditions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks, changes in circumstances that are difficult to predict, and many of which are outside of our control. Our actual results and financial condition may differ materially from those indicated in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the Company's filings with the SEC, including our annual report on Form 10-K, which was filed with the SEC, on September 20th, 2024. Do not place undue reliance on any of the forward-looking statements, which are being made only as of the date of this call. Except as required by law, the Company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. With that, I'd now like to turn the call over to iPower’s Chairman and CEO, Lawrence Tan. Lawrence?
Lawrence Tan: Thank you, Kevin, and good afternoon, everyone. We took important steps to strengthen our operational foundation during the quarter, even as we navigated a more cautious demand environment. In response, we have accelerated efforts to diversify our supply chain by expanding manufacturing into the U.S., onboard more U.S.-based suppliers, as well as continuing to cultivate relationships with alternative suppliers in other geographics. These actions are central to our strategy to build a more agile and durable supply chain capable of supporting long-term growth and reducing exposure to external volatility. In our SuperSuite business, we continue to see solid momentum, reflecting both the strengths of our platform and the growing demand for our market-leading solutions. SuperSuite now accounts for approximately 20% of our total revenue mix, a significant milestone that underscores the accelerating adoption of our integrated supply chain offerings. As a tech-based, data-driven platform, SuperSuite empowers our partners with the infrastructure, intelligence, and executional support needed to scale effectively in today's fast-paced e-commerce environment. During the quarter, we continued to add depth into our SuperSuite capabilities by implementing key functions from value-added partners across logistics, merchandising, and data analytics to further enhance our services. As an example, we recently extended our national fulfillment network through newly onboarded warehouse locations, enabling faster and more cost-efficient delivery across key region markets. These additions are not just incremental improvements, but strategic components that make SuperSuite a more sophisticated, more connected, and more agile ecosystem. The purpose of SuperSuite is simple. Deliver a turnkey solution that enables our partners to scale faster, operate more efficiently, and stay ahead of evolving consumer expectations. By building a seamless bridge between supply chain input and e-commerce execution, we are not only improving outcomes for our partners, but also positioning SuperSuite as a go-to solution for emerging brands looking to compete in a data-driven omnichannel world. As we announced earlier this week, we further expanded SuperSuite's capabilities with the Made in USA module. Made in USA is designed to facilitate the establishment and expansion of domestic manufacturing lines by offering comprehensive support in areas such as legal and regulatory compliance, facility sourcing and setup, local management and labor sourcing, funding opportunities, and access to both online and offline sales channels. By providing these critical resources, we are bridging the gap for manufacturers and supply chain partners who are considering domestic production but may lack of infrastructure or guidance to do so effectively. The initiative serves as a cornerstone of SuperSuite's broader supply chain solution and aligns with the increasing global focus on reshoring as a critical lever for supply chain resilience. As manufacturers seek to diversify operations, reduce dependency on international logistics, and respond to shifting geopolitical dynamics, the Made in USA module provides a much-needed platform to bring advanced manufacturing skills and capabilities to U.S. soil. As the first of several planned collaborations under the Made in USA platform, we are actively engaging with a sales partner that has an existing sales team here in the U.S. and established a customer base, and a manufacturing partner to establish a comprehensive domestic production line. This partnership will leverage our robust support infrastructure, aiming to integrate manufacturing expertise from international partners while utilizing iPower's established sales and fulfillment network to scale production effectively. This deal represents the initial step in a series of strategic initiatives aimed at attracting manufacturers and supply chain partners to the United States. At the operating level, we are implementing targeted initiatives aimed at reducing expenses and streamline operations, laying the groundwork for improved margin and greater efficiency. Our commitment to enhancing operational efficiency and building a more resilient, adoptable supply chain remains a strategic priority. A core element of this approach is supplier diversification, which reduces reliance on any single region and enhances our agility in responding to global disruptions. Late last year, we expanded our manufacturing footprint into Southeast Asia, establishing new partnerships that are already showing early signs of promise. More recently, we have taken the initial steps towards developing a domestic manufacturing facility here in the U.S. A step that not only aligns with our long-term cost management goals, but also positions us to respond more quickly to shifts in customer demands, improve lead times, and further insulate our operations from geopolitical and logistical risk. As our supplier base continues to broaden and we begin to scale purchasing with new partners, we anticipate a range of operational benefits, including more favorable production economics and streamlined logistics. Additionally, a more agile and cost-efficient supply chain will enhance our ability to deliver value to both our customers and bottom line, enabling more competitive pricing and stronger margin performance. We remain focused on building a diverse global supplier network that supports the continued growth of our business with the flexibility to adapt a dynamic operating environment. Looking ahead, we are taking a disciplined approach to capital allocation as we strengthen our operational foundation and build a more robust supply chain. While macro conditions remain uncertain, our proactive diversification across both suppliers and the sales channel positions us to effectively manage near-term volatilities. We believe these initiatives, coupled with our accelerating momentum in SuperSuite and ongoing efforts to broaden our sales channel, will enable us to navigate the current market environment and execute our goals ahead. I'll now turn the call over to our CFO, Kevin Vassily, to take you through our financial results in more detail. Kevin?
Kevin Vassily : Thanks Lawrence. Unless referenced otherwise, all variance commentary is in comparison to the year ago quarter. Let me dive right into the fiscal Q3 results. Total revenue in the fiscal third quarter of 2025 was $16.6 million, compared to $23.3 million prior year. Decrease was driven primarily by lower product sales to our largest channel partner, partially offset by growth in our SuperSuite supply chain offerings. Gross profit in the fiscal third quarter of 2025 was $7.2 million, compared to $10.3 million in the same quarter of fiscal 2024.%age of revenue gross margin was 43.3%, compared to roughly 47% in the year ago period. Decrease in gross margin was primarily driven by an increase in services income in the quarter. Total operating expenses in fiscal Q3 improved 15% to $7.4 million, compared to $8.8 million in the same period in fiscal 2024. Decrease in operating expenses was driven primarily by lower general and administrative costs from our optimization initiative, as well as lower selling and fulfillment expenses related to our largest channel partner. Net loss attributable to iPower in the fiscal third quarter was $340,000, or a loss of $0.01 per share, compared to net income attributable to iPower of $1 million, or a profit of $0.03 per share for the same period in fiscal 2024. Moving to the balance sheet, cash and cash equivalents were $2.2 million at March 31, 2025, compared to $7.4 million at June 30, 2024. As a result of our consistent debt paydown, total debt was reduced by 43% to $3.6 million, compared to $6.3 million as of June 30, 2024. To summarize our financial performance, we're up against a fairly difficult comp year-over-year this quarter due to elevated purchasing volumes from our largest channel partner in the year ago period. Despite this, we continue to realize meaningful benefits from the optimization initiatives we've been putting in place over the last fiscal year, resulting in a 15% reduction in operating expenses for fiscal Q3. Additionally, we further reduced our debt obligations by nearly 20% during the fiscal third quarter alone, reinforcing our commitment to strengthening the balance sheet. With our ongoing efforts to diversify our supply chain, accelerating momentum in SuperSuite, and an optimized operating structure, we believe we're well-positioned to deliver long-term value to our customers and shareholders alike. This concludes our prepared remarks, and we'll now open it up for questions.
Operator: [Operator Instructions] Our first question will come from the line of Kunal Madhukar from Water Tower Research.
Kunal Madhukar: Hi, thank you for taking the questions. Couple of very quick. One would be to understand now that you have diversified your supply chain and manufacturing, what is the respective exposure to the different geographies based on the sales that you did in the fiscal third quarter? How much of that was coming from different countries, and where is the exposure?
Lawrence Tan: Okay. The Southeast Asia is growing, but right now still most like the majority of the supplies are coming from China. We have U.S.-based suppliers now onboarded. So still the most of them are from China. The 20% of the services are mostly delivered here for us to sell, but the imported ones, most of the manufacturers are from China still. We are on our way to diversify that further.
Kunal Madhukar: Got it. And then you have been trying to reduce your inventory, but you are still probably sitting on a large amount of inventory. How does that create you and that inventory is already in the U.S. How does that place you comparatively, as far as your largest channel partner is concerned, in terms of when it decides to reorder? Your inventory may be the closest and the cheapest to reorder from.
Lawrence Tan: Our U.S. inventory is a critical part to compensate any products that other channel partners do not have enough inventory. So it's very important to keep adequate inventories in the U.S. to balance the overall demand. My take to navigate across the robust macroenvironment is that we should not overstock or try to bet on any political-influenced events. Instead, we keep operating with a very reasonable, efficient inventory level, usually two to three months. That's my goal. Batting or preparing for one way or the other in today's environment may result in unexpected results as they change from day to day and week to week.
Kunal Madhukar: I totally understand that. In fact, they change from hour to hour. So predicting that is a tough one. The other one, sorry and this is the last one. This is on the Made in the USA. So there are a number of things that you're doing, a number of initiatives within this, in terms of helping setting up manufacturing facilities, maybe siting land, and even with labor, trying to help other companies with labor. Now, one of the key questions that people would potentially have is like what is your level of expertise in the U.S. that you can help support a consulting business where you're helping other people kind of navigate the tough manufacturing environment in the U.S.?
Lawrence Tan: Right. We not only just provide consulting services; we heavily involve into this Made in the USA effort. First of all, we have established sales channels online, and we have established business partner relationships with offline big box retailers, and now we have B2B sales partners on board already. So that's number one. We have the sales channel. Number two, we have product capabilities, market research, analytical, data-driven approach that we have been doing for years. And thirdly, compared to the international manufacturers, we understand the local policies and laws, and we have access to resources and communication channels for a variety of different tasks that are very essential for setting up Made in the USA. So overall, from a sales perspective, from a product perspective, from a setting up and local perspective, these are critical ones that to successfully launch a manufacturing plant here. I'm pretty excited. With SuperSuite, that's already bringing us a lot of like a U.S.-ready products for sales, which SuperSuite has contributed 20% of our sales as of today, and our soon to be launched like Made in USA production line in the pipeline. And the expansion of our Southeast Asia manufacturing, I think I'm pretty excited to have these diversified supply chains going on that become like the majority of our mix. And by saying that, we also have other manufacturers who have established their locations here and are working with us on the sales side only. Like they don't need help on the manufacturing setup part. So they are much, much bigger and more sophisticated. Yes, with all these works in place, we'll become a true global sourcing platform and sales primarily for the U.S. market, bringing the best values from all different parts of the world.
Operator: Thank you. Now I'm not showing any further questions in the queue. I would now like to turn it back over to Kevin for closing remarks.
Kevin Vassily : Okay. Well, thank you everyone for joining. And we look forward to speaking again with everyone in September when we report our fiscal Q4 and full year results. Thanks again for joining. Goodbye.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.